Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Second Quarter 2020 Parsons Corporation Earnings Conference Call. [Operator Instructions] Please be advised that today's conference may be recorded. [Operator Instructions] I'd now like to hand the conference over to your host today, Mr. Dave Spille, Vice President of Investor Relations. Please go ahead, sir.
Dave Spille: Thank you. Good morning, and thank you for joining us today to discuss our second quarter 2020 financial results. Please note that we provided presentation slides on the Investor Relations section of our website. On the call with me today are Chuck Harrington, Chairman and CEO; George Ball, CFO; and Carey Smith, President and Chief Operating Officer. Today, Chuck will discuss execution against our corporate strategy, George will provide an overview of our second quarter financial results and then Carey will review our operational highlights. We then will close with a question-and-answer session. Management may also make forward-looking statements during the call regarding future events, anticipated future trends and the anticipated future performance of the Company. We caution you that such statements are not guarantees of future performance and involve risks and uncertainties that are difficult to predict. Actual results may differ materially from those projected in the forward-looking statements due to a variety of factors. These risk factors are described in our Form 10-K for fiscal year ended December 31, 2019, and other SEC filings. Please refer to our earnings press release for Parsons' complete forward-looking statement disclosure. We do not undertake any obligation to update forward-looking statements. Management will also make reference to non-GAAP financial measures during this call, and we remind you that these non-GAAP financial measures are not a substitute for their comparable GAAP measures. I now will turn the call over to Chuck.
Chuck Harrington: Thank you, Dave, and good morning, and thank you to those who are joining us today for our second quarter 2020 earnings call. Since our last call, several watershed events occurred to shine a light on inclusion, diversity and equality, which have been central to Parsons' core values for decades. These cultural tenets are essential to us as a company to ensure equality for all individuals, not only within our organization, but also in the communities we serve. Consistent with this core value, Parsons is proud to be named for the fifth consecutive year as a top 50 company for diversity by STEM Workforce Diversity magazine. Similar to our COVID-19 response, we engaged with our employees and empowered them to develop solutions that will result in a more diverse workforce and inclusive culture. We approach social and cultural opportunities with the same agility and vigor that we approach our business. Now to our second quarter financial results. We reported record adjusted EBITDA and record EBITDA margins, built on the strength of our growing product and solutions revenues. We also benefited from strong cash flow and a second quarter revenue that was in line with our internal expectations amidst a challenging macroeconomic backdrop. We continue to win large strategic contracts, develop technology solutions and accelerate transactional revenues. Additionally, our strong balance sheet continues to provide us with the flexibility to strategically evaluate internal and external investments. A few details on our second quarter business results include total revenue of $979 million, which was a 1% decline from the second quarter 2019 as we implement our strategy to run off low-margin pass-through revenues combined with headwinds from COVID-19. We delivered adjusted EBITDA of $91 million and adjusted EBITDA margin of 9.3%, which is a 160 basis point improvement from the second quarter 2019 and a 310 basis point improvement from our first quarter 2020 results. We also generated cash flow from operating activities of $88 million, and we achieved a book-to-bill ratio of one times, which was driven by 1.2 times in Critical Infrastructure. Our Federal Solutions team continues to execute well and maintained its trailing 12-month book-to-bill ratio of 1.2 times. In the quarter, our Federal Solutions segment won a $950 million multiple-award IDIQ contract to support advanced battle management solutions and kicked off the third quarter with a $307 million contract win with a classified customer to provide enterprise information security services. Our Critical Infrastructure segment won a $224 million competitive extension to our Riyadh Metro program management contract in the quarter and continued to win new work with our connected communities market. I am pleased with the innovation our team is bringing to the market. With technology accelerating at an ever-increasing rate, we continue to innovate and develop technology to provide differentiated solutions for our customers. Our solutions are comprised of software, hardware and services, packaged in new contractual arrangements, such as our Intersection-as-a-Service and pandemic response offerings. As an example, our 4 Smart Cities Challenge winners will deploy intelligent transportation solutions, leveraging our software platform that incorporates our advanced analytics and artificial intelligence algorithms to reduce traffic congestion and improve safety and driver satisfaction. We embrace a partner-friendly strategy to bring best-of-breed technology solutions to market. This enables us to expand our addressable market by extending into market adjacencies and cross-selling our hardware and software products and associated services. This partnership strategy played a key role in the release of our DetectWise, Grid Armor and bio-surveillance solutions. Although they are not yet material to our financial results, their margins are materially higher in our services business and momentum is building. They also are indicative of our agility, rapid prototyping capability and our culture of innovation. In addition, they reflect our strategy to accelerate our technology and transactional revenue streams. Our strong balance sheet, low leverage and over $500 million of undrawn revolver capacity has enabled us to make these internal investments. It also enables us to be opportunistic in pursuit of strategic acquisitions as the M&A market is now beginning to reopen and discussions are expanding. In summary, we had a successful second quarter. We reported record adjusted EBITDA and EBITDA margins, delivered strong cash flow and maintained a robust balance sheet. We also continue to develop innovative solutions consistent with our strategy to transition to increased hardware, software and transactional revenue streams. I'm proud of our employees and their contributions to our inclusion, diversity and equality core value. They continue to rise to the challenge of our quest to deliver a better world. With that, I'll turn the call over to our Chief Financial Officer, George Ball, to discuss our second quarter financial highlights. George?
George Ball: Thank you, Chuck, and good morning, everyone. Today, I'll organize my remarks into the following 5 key areas: the income statement, cash flow results, the balance sheet, contract awards and 2020 guidance. As Chuck indicated, we had a strong second quarter and reported revenue and profitability results that generally exceeded our internal expectations. Total revenue for the second quarter decreased 1% from the prior year, due primarily to the continued runoff of pass-through revenue and COVID-19 headwinds, largely offset by growth in our Federal Solutions segment. Organic growth was 5% when excluding approximately $67 million of contract work delayed as a result of COVID-19. Our team did an outstanding job offsetting these COVID-related delays through strong program execution, redeployment of resources to staff, additional scope on existing contracts and ramp-up work on recent wins. Indirect SG&A expenses decreased $38 million from the second quarter of 2019. This decrease was primarily lower costs related to legacy equity-based programs and a reduction in transaction-related expenses. Adjusted EBITDA of $91 million represents a $15 million, an increase of $15 million from last year and adjusted EBITDA margin increased 160 basis points to 9.3%. These increases were primarily driven by higher earnings from consolidated joint ventures, strong cost controls and approximately $6.5 million of net performance incentive fees, most of which are not expected to reach future periods. I'll turn now to our operating segments, starting first with Federal Solutions, where second quarter revenue grew 1% year-over-year. This increase was impacted by approximately $32 million of contract work that was delayed as a result of COVID-19. Excluding this impact, Federal Solutions organic revenue growth would have been 6% in the second quarter and 8% over the first half of 2020. Federal Solutions adjusted EBITDA increased $12 million from the prior year quarter and our adjusted EBITDA margin increased from 7.5% to 9.9%. These increases were driven by higher project margins, resulting primarily from an increase in performance incentive fees and a decrease in subcontractor and material costs. Now a few words regarding our Critical Infrastructure segment. Second quarter revenue decreased 3% year-over-year with revenue growth of 4% when excluding approximately $35 million of contract work that was delayed as a result of COVID-19. Critical Infrastructure adjusted EBITDA increased 7% year-over-year and our adjusted EBITDA margin increased 80 basis points to 8.7%. These increases were driven primarily by higher earnings from consolidated joint ventures and improved project margins, offset in part by lower equity and earnings from unconsolidated joint ventures. Next, I'll discuss cash flow and balance sheet metrics. Our net DSO at June 30, 2020, stands at 69 days compared to 65 days at the end of the second quarter of 2019. Our second quarter operating cash flow totaled $88 million, driven by strong collections along with income and payroll tax deferrals totaling approximately $33 million. Capital expenditures totaled $10 million in the second quarter of 2020, which was in line with expectations. As noted by Chuck, our balance sheet remains very strong. We ended the quarter with a net debt leverage ratio of 0.4x, and we closed the quarter with $505 million of undrawn capacity on our revolver. Regarding awards. We reported contract awards of $1 billion in the second quarter, representing a book-to-bill ratio of 1.0x. On a trailing 12-month basis, our book-to-bill ratio is also 1.0. Our backlog at the end of the second quarter totaled $7.7 billion and continues to represent approximately 2 years of revenue at our current run rate. Now let's turn to our guidance. Given our strong second quarter performance and outlook for the balance of the year, we again reiterate our 2020 guidance ranges provided initially on March 10. With that, I'll turn the call over to our President and Chief Operating Officer, Carey Smith, to discuss our second quarter operational results. Carey?
Carey Smith: Thank you, George. As Chuck and George indicated, we had a solid second quarter. I'm proud of our team's performance given the fluid environment as a result of the COVID-19 pandemic. Despite these challenges, we delivered record profitability with strong cash flow and revenue results. During the second quarter, our team demonstrated agility in rapidly developing new solutions, establishing new partnerships and deploying new offerings across various industries during a global crisis. In addition, we took swift action to enhance our inclusion, diversity and equality. During the second quarter, we continued to win large single and multiple award contracts, IDIQ task orders and Other Transaction Agreements, or OTAs. As an example, we were awarded a $224 million competitive extension as the lead joint venture partner for the Riyadh Metro project, which is the largest ongoing metro project in the world. Other notable recent contract wins include a $307 million contract win in the third quarter with a classified customer to provide enterprise information security. In securing this large contract, we leveraged capabilities gained from OGSystems, Polaris Alpha and legacy Parsons. With the scope that includes information system security, information assurance engineering, security controls assessment and testing, we're strategically positioned in the growing space communication security and cryptographic engineering markets. We were also awarded the Air Force's Advanced Battle Management System $950 million multiple-award IDIQ contract. This key contract will help enable the Joint All Domain Command and Control vision of enabling any sensor to inform any weapon system in any domain, land, sea, air, space and cyberspace. Our momentum of winning IDIQ task orders and OTA contracts continues. During the second quarter, we won an additional task order under the Air Force Research Laboratory's GARDEM IDIQ contract. We have now booked more than $110 million year-to-date under this vehicle, making us the market share leader. We also won strategic new OTA contracts, bringing our total award value to more than $100 million year-to-date on OTAs. A relevant example is our Naval Surface Technology and Innovation Consortium OTA win, where we will design, develop, build, test and deliver a working prototype of a nonlethal system to support maritime operations. We're also pleased with QRC Technologies' second quarter performance. This high-margin hardware business successfully booked wins with our survey and signals intelligence products. We also developed new use cases, leveraging our existing radio frequency situational awareness solutions for government, military and security customers. Throughout the second quarter, we continued to drive product solutions and increase our transactional revenue. In terms of new product introductions, we've made substantial progress on our DetectWise pandemic detection and response in our Grid Armor solutions. DetectWise is our touchless suite of products that monitors real-time health and facilitates the safe movement of people in public areas. This solution leverages off-the-shelf sensors integrated onto a custom Parsons' developed software background. It's been deployed in multiple locations with multiple customers, and we have a robust pipeline of over 250 opportunities. A second COVID-19 offering we introduced is our bio-surveillance DetectWise DASHSolution. Through our partnership with a nonprofit research institute, we developed and are commercializing a diamond electrode biosensor for rapid detection of SARS-CoV-2, the virus that causes COVID-19. The sensor has passed multiple tests in a controlled laboratory environment with the live virus, and detection results are nearly immediate. Use cases range from human testing to environmental, which includes airborne, surface and water. Our newest product rollout is for Grid Armor, which merges information from multiple sources, such as weather, conductors, video and vegetation to provide real-time situational awareness for utility companies. Grid Armor improves operational efficiency and enables utilities to better identify and mitigate potential catastrophic events, such as wildfires and public safety power shutoffs. This is another great example of leveraging our federal technology for a Critical Infrastructure customer. As Chuck indicated, we've been listening to and learning from our employees regarding ideas to further enhance our inclusion, diversity and equality efforts. Initial actions that we are implementing include posting the more diverse job boards, increasing mentoring and training opportunities and ensuring we have a diverse candidate slate and interview panel. We will be tracking our progress every quarter against the rolling 12-month plan. Diversity is a Parsons' core value, and it's inherent in our company's culture. Finally, I would like to highlight that we received the 2020 Cogswell Outstanding Industrial Security Achievement Award. As a provider of critical national security solutions for both the Intelligence Community and the Department of Defense, we're very proud of this recognition. With that, I'll turn it back over to Chuck.
Chuck Harrington: Thank you, Carey. In summary, our team's second quarter execution was strong. We overcame COVID-19 headwinds to deliver strong financial results, developed and solved new technology solutions and transitioned to an effective work-from-home operational model. We further fortified our balance sheet, which we plan to utilize to execute our strategic plan with focused investments in technology products and solutions. Our team approach once again demonstrated our genuine desire to deliver a better world by reinforcing our core value of diversity, inclusion and equality. We have a unique culture at Parsons, where our employees are the foundation of our business, built on their dedication to our customers' missions and our core values. Now we'll open the line for questions.
Operator: [Operator Instructions] Our first question comes from Gavin Parsons with Goldman Sachs. Your line is now open.
Gavin Parsons: Hey, good morning. Chuck, on Federal Solutions growth going forward or organic growth going forward, I think you've said that could be upper single digits over the next few years and you flagged a number of key wins that will contribute to that, but your backlog is kind of flat to down over the last 1.5 years there. So I'm just curious what gives you confidence in that forecast for Federal Solutions organic?
Chuck Harrington: Yeah. Great question, Gavin. As we said, we have a 1.2 book-to-bill so far through the first half of the year, and we felt that we keep our book-to-bill around 1.1. That supports that double-digit growth or high single-digit growth that we talked about. We've got a lot of exciting prospects that are in the near-term award scenario that we think, in addition to those contracts we already have won that will support that growth.
Gavin Parsons: Yes. So I mean, is there also an aspect maybe of some of these sealing IDIQs that you haven't fully booked in there or on-contract growth or something like that?
Chuck Harrington: Yes. So we have a couple of things in the BV front, and I'll have Carey provide a bit more color on this as well. But we, as you say, when we do book our multi award IDIQs, we only put into backlog that amount associated with tasks that we've actually been awarded. So if we book $1 billion task award and start off with a $20 million task, we're only going to put $20 million into backlog. So it's as those task orders come through. In addition to that, as you've said, we've also got a couple of contracts that, where the customer is bringing in additional work, kind of consolidating 2 or 3 different suppliers' worth of work into one, and those are pretty rapid ramp up, obviously. And Carey, do you want to provide a little more color on the growth?
Carey Smith: Sure, Chuck. As of the end of the second quarter, we had an awarded NOC book value of $220 million. Since the second quarter, obviously, we announced the $307 million win of Intelligence Community contract that was previously won in February. It was under protest, and we were just re-awarded that contract once again. We also have awaiting notice of award 7 contracts that are greater than $100 million, 4 of which are single-award contracts and 3 of those are multiple-award contracts. So we feel very confident in Federal Solutions growth.
Gavin Parsons: That's great color. Appreciate that. And then maybe just on GBSD sizing NOCs. Northrop said they expect an EMD booking in the $10 billion to $15 billion range. So I just wanted to see if you have any update or ability to quantify what you're expecting?
Chuck Harrington: Yes. Not at this time. Once that contract is signed and I think, Northrop stated, they expect that to occur perhaps even as soon as later this month, then we'll get down into the final negotiations and scope identification for us, and so that could be something we announce later this quarter.
Operator: Our next question comes from Cai von Rumohr with Cowen.
Cai von Rumohr: Good quarter. So could you give us a little bit more color on the bookings? Usually, this is, this current quarter is a seasonal peak. But should we look for the book-to-bill to be kind of over 1? And maybe if you could kind of identify any of the particular targets you've got that, who have been more notable.
Chuck Harrington: Yes. So again, I think as, you cut off a little bit there, Cai. It got a little hard for me to hear, but I know you're talking about our bookings. And so generally, what we're seeing is strong proposal activity. We have a huge pipeline in Federal Solutions, especially. I think we've submitted something like $21 billion in revenue for 2020, which is almost double what we bid this time in 2019. And we also have, had a real starting to ramp up quite materially on our QRC products, so, which is really helping the bottom line in EBITDA. Does that answer your question, Cai?
Cai von Rumohr: Yes, that's helpful. But I mean, so with all of that, I mean, should we expect this should be a strong bookings where I would assume seasonally it is. I mean, obviously, things may not happen, you can see delays, but it sounds like what you're saying is there should be a strong bookings quarter...
Chuck Harrington: Yes. Q3, as you say, Cai, Q3 is usually a strong bookings quarter as we come into the end of the year, especially in task order awards. And we've not seen a material slowdown in either prime contract or task order awards. Carey, any additional color you'd like to provide on that?
Carey Smith: In addition, I mentioned earlier, we had awarded and NOC booked a $220 million at the end of the second quarter. We also have awaiting notice of award $4.8 million, which is significant. And again, we got off to a very strong start in Q3 with $307 million contract that we cited as well as a very strong start and continued QRC and products momentum. As you indicate, Cai, Q3 is always strong for IDIQs and other transaction agreements. We're at the peak we've ever had for other transaction agreements through Q2 with over $100 million awarded and expecting very strong IDIQ performance as well.
Cai von Rumohr: And then the second question would be, you've talked 2 quarters now on DetectWise. You say it's deployed broadly. You have 250 opportunities. Kind of what are we talking about in terms of revenues and when we talk about an opportunity, is there a dollar number? Is it like $1 million per opportunity, $500,000? Give us some color on that, if you could, the financial potential for DetectWise?
Chuck Harrington: Yes. So for competitive reasons, we're really, at this point, not getting down into saying, so you can back calculate what the price of that unit is. And we do have various models of the DetectWise, very complex models that can link right into a customer security or ticketing systems into less sophisticated models that are more for maybe a larger mass application. What we can say is that we've had a lot of interest in the Intelligence Community, in the infrastructure markets, in health care. We've got several units that are now sold and in discussions with a lot more units that could potentially be material to our revenues and earnings by the end of the year.
Operator: Our next question comes from Joseph DeNardi with Stifel.
Joseph DeNardi: Chuck or George, you're one of the only services companies that talks about your business in terms of Software as a Service and transactional volume. It's clearly a strategic focus for you all. So can you just talk about that a little bit fundamentally kind of why does that improve earnings power of the business longer term? Does it make you more competitive? Does it just enhance profitability? What's the advantage being able to contract in that manner or go-to-market in that way?
Chuck Harrington: Thank you, Joseph, for the question. Yes. So actually, you hit the two primary nails right on the head. One, it obviously improves our profitability tremendously. The margins in the SaaS models and these other solutions models are materially greater than what we've historically got in the services line of our business. Secondly, it really builds upon our agility and rapid prototyping capability. At the end of the day, what our customers are looking for are solutions to problems, and there's multiple ways of getting there. They can hire a large workforce to develop a solution over time or in -- what we do is bring in a solution either in toto or partial, and that is much more rapidly deployable. And those solutions, as we have said in the past, have been -- maybe historically got software and hardware that we've converted to cuts, hardware and software, to be able to package together in a total solution offering. And we see great opportunity for that, both on the federal side of our business as well as our Critical Infrastructure side.
Joseph DeNardi: Chuck, are there certain customers on the government side that are more receptive to that and others that are maybe coming along?
Chuck Harrington: Yes. I think we'll -- I'll put everybody in the coming along phase. But what it offers is much quicker deployment. So those customers that are interested in really rapid deployment, and you can kind of figure out who those might be, are the most interested. And we think about it, the ice was kind of broken when the Intelligence Community moved into cloud computing sphere, where they're basically procuring a data center as a service. And so that provides kind of the priming of the pump. And I think that there'll be more acquisitions in that regard, probably in the Intelligence Community and Defense Department over time as these solutions are more cost effective. This way of contracting is more cost-effective and more timely in the delivery of the solution.
Joseph DeNardi: Got it. That's helpful. And if I could just sneak one more in for George. Just maybe on the impact from COVID in the quarter. I think you had said previously that you weren't expecting much of an impact or weren't seeing much of an impact. Now that there has been one, can you talk about kind of where across the business you're seeing? And what gives you confidence that it will normalize? And how are you able to maintain guidance despite the impact? Thank you.
George Ball: Yes. I think it's a good question, Joe. I think it's really a matter of how the Parsons' team has adapted. As I had in my remarks, we were effective in redeploying resources into other activities. As Carey indicated, we've had a lot of nice recent wins. We've ramped up that work. I would say we've probably seen the biggest impact, and I'm sure everybody has the same view. We anticipate that we will actually have lesser impact as we move ahead, absent a significant change in the status of the virus.
Chuck Harrington: Thank you, George. And Carey, is there -- maybe you want to provide a little color on the COVID as well?
Carey Smith: Sure, Chuck. So if you look at the COVID, I would break it into 2 buckets, $67 million of COVID impact that was not covered under CARES, $40 million that was covered under CARES that will be reimbursed. On the $67 million, it was pretty much split $32 million for Federal, $35 million for Critical Infrastructure. Within the Federal, the major impact was our FAA program, which we're now starting to see recover. The projects are restarting up. Within the Critical Infrastructure sector, the main impacts were some home remediation works, which once again is starting up as well as vehicle inspection, which has returned. So what we -- and on the CARES Act coverage, we're down today half of what our peak was. We hit the peak at the end of April, early May. We're now at half of that. So what you will expect to see is partial recovery in 2020 and with the rest of the work deferred to 2021.
Joseph DeNardi: Very helpful. Thank you.
Operator: Our next question comes from Louie DiPalma with William Blair.
Louie DiPalma: Yesterday, you were a platinum sponsor for the Space Missile Defense Virtual Conference. And in 2019, I remember you were awarded a $100 million small satellite contract with Air Force Space and Missile Systems Center for small satellite integration. And I believe that program is now led by Aarish, the former CEO of your OGSystems. Can you discuss at a high level how the pipeline looks for small satellite, missile defense applications? And how you expect that market to evolve and your role in that market?
Chuck Harrington: Yes. I'll provide an overview and then ask Carey to provide a bit more detail. So that's our LMSI contract. And we have a high bay facility. We put together specifically to support that out in California, where we integrate small satellites into a ring for deployment from another launch that's putting up a larger satellite perhaps. And we can launch either before or after the primary payload. So we've done 2 launches to date, and we see that pace increasing, not just from a missile defense but from lots of potential applications as the small satellite fleet increases on a pretty rapid basis. Carey, would you like to provide a little more detail on that?
Carey Smith: Sure. As you indicated, we were awarded the contract in early 2019. Since that time, we've had 2 successful launches. The contract completion runs until 2024. And our expectation is that with every primary payload mission, Space and Missile Command will also be manifesting a small satellite payload. So we will continue to be involved in all launches. It's a very robust market with future commercial potential applicability.
Louie DiPalma: Sounds good. That's helpful. And also during the quarter, you announced a partnership with vehicle tolling and registration provider, Neology. And I was wondering just what does that partnership entail in? Do you expect that it will focus on government solutions and commercial opportunity?
Chuck Harrington: Yes. Potentially, Louie, when we look at that, we see one, a clear line of sight to smart cities applications where we have intelligent transportation services and our Intersection-as-a- Service offering. But also as we look at the smart basis of tomorrow, really those Intelligent Transportation Solutions have the same applicability into our, the military bases and the offerings that we're bringing to those clients as well.
Operator: [Operator Instructions] Our next question comes from Tobey Sommer with Truist.
Tobey Sommer: I was wondering if you could speak to the impact of COVID-19 on your infrastructure business in terms of potentially making cities and densely populated areas a little bit less appetizing to live in at least over the near term. And maybe contrast that with opportunities that could emerge that would actually potentially benefit the business. Just kind of want to get the puts and takes.
Chuck Harrington: Thank you, Tobey. I think at this point, we think it's probably too early to tell exactly what the longer-term ramifications are of the COVID-19. We think of the Yogi Berra quote, predictions are hard, especially about the future. But a couple of things are for sure happening. One, the public needs to have trust reestablished that they can travel safely, whether that's by air, train, bus, car. And so there are going to be infrastructure upgrades and modifications to basically allow for more social distancing and perhaps even just physical distancing, whether it's installing plexiglass, et cetera, and technology solutions, like our DetectWise product that can provide scanning, looking for symptoms and linking that to ticketing and other types of software applications. So software platforms are probably going to take a big tick up. We think the technology side of infrastructure will have to change. Now in terms of people movement habits, I mean, clearly, right now travel is down pretty materially. So what infrastructure customers are looking for are how do they get their work done significantly cheaper than they have done before, which is clearly creates an opportunity for those companies that have technologies that can virtualize their operating centers and other types of applications. Many of these customers, unfortunately, have really old technology. So the ability to bring the SaaS model to them, so they aren't having a big capital program and really improve their core technology, we think, is another near-term opportunity that we'll see out of COVID. Carey, are there, is there any additional color you'd like to provide on this?
Carey Smith: Yes, just a couple of examples. It does provide opportunity for us. If you think about the way an airport works, for example, the future airports are not going to be like that today. So we've submitted some recent bids as far as queuing, how do you get people in and out of an airport safely. That obviously couples quite nicely with our DetectWise solution. Also you asked earlier about the Neology partnership. That's another terrific example of an opportunity that would be post COVID. As most of our tolling systems go to contactless tolling, that market is very large and growing. So if you take the Parsons' capability with Intelligent Transportation, coupled with Neology's Innovative Technology Tolling Solutions, we see opportunities for toll tax, toll readers, license plate recognition, vehicle detection, classification and other areas.
Tobey Sommer: As a follow-up on the Infrastructure side, if we think of potentially an infrastructure bill needing to be passed for this re-tolling, what kinds of items should we look for as being most direct potential drivers of your business?
Chuck Harrington: Well, I think what we've seen in the past, Tobey, is when large infrastructure bills are put forth, and they really fund the advancement of technology and the betterment of infrastructure versus, I think, the terminology we saw in the past, things like shovel ready, which tend to be more just quick action but maybe customers haven't had enough time to really put forth the thought and planning that goes into a technology upgrade. So the technology-oriented infrastructure upgrade definitely benefits the vision of where we're going. Now since we also have a large physical infrastructure business, we benefit that way as well. But clearly, our solutions are very differentiated on the technology side. So think of rail transit systems, as Carey pointed out, airports and aviation systems as well as incorporating upgrades to take in autonomous vehicles and some of the work we see going on at Tesla and other auto manufacturers.
Tobey Sommer: Thanks. Last question from me. I wanted to follow-up on sort of the products related to COVID-19 that you have out in the market. I understand the reluctance to identify a specific price point. Could you speak to the competitive landscape and just comment about whether this has the potential to be material? Thank you.
Chuck Harrington: Thank you. So yes, I think the competitive landscape is blurry right now because there is a lot of first movement of existing products that probably didn't always meet the bill and then there's firms like us that are coming up with more differentiated product sets. And then in some cases, there's a little bit of confusion as to who's buying for -- who's it responsible for buying products for a given market. And we see a little bit of that in the infrastructure side. I think the interesting thing of the products that we're producing, which right now are dedicated to COVID, but they all have applicability to whether it's seasonal flu or other types of viruses. So they have staying power, and it goes beyond, in many cases, just measuring temperature and answering questions, cardiopulmonary rates. I mean, we can actually -- if our biosensors continue to pass the testing that we put them through, including live virus testing, right now they're showing they can detect the COVID virus. Well, that same sensor could be used for other types of virus detection. So the materiality comes from -- these are not going to be large contracts. These are going to be more large numbers of product sales. So as we think about a public, in the U.S., of roughly 380 million people, and if we all got tested tomorrow, we would know tomorrow whether or not we had COVID. But since so much of it is passed asymptomatically, we wouldn't know two days later if we had COVID or not. So you start thinking through how we get people back into public and how we get them back into large places, whether it's sporting events or religious worshiping areas or back into school, which is obviously a key area. We're going to need a cost-effective, rapid response to COVID testing. And then you can think of it quickly that numbers of tests that are going to be done over the next 18 months are probably going to exceed hundreds and millions and have all the potential to be into the billions of tests. So it's a really, really big market.
Tobey Sommer: Thank you.
Operator: Our next question comes from Josh Sullivan with The Benchmark Company. Your line is now open.
Josh Sullivan: Good morning, Chuck, David. Can you just update us on how we should think of the pace of the drawdown on the pass-through revenues going forward versus the organic growth in the technology program? Thanks.
Chuck Harrington: Thank you, Josh. Yes. What we had said previously is that this drawdown will continue through 2020 and 2021. And by early 2022, we should have that off. It's predominantly coming out of Critical Infrastructure, but it's also coming a bit out of our engineered systems portion of Federal Solutions.
Josh Sullivan: Got it. And then can you just expand on the overall partnership approach to technology development? How are you structuring those relationships? How meaningful are they going to be going forward? And then how do you make sure Parsons got the appropriate value from those relationships?
Chuck Harrington: Yes. So it's a broad number of partnerships that we're looking at from licensing agreements to co-manufacturing capabilities which have scalability, and obviously getting every partner, getting their fair share of the profitability is key. Carey, you might want to go into a little more detail on some of the partnerships we've put together and how we see those playing out over time.
Carey Smith: Sure. Today, we have 7 global channel partners that help us sell our entire product suite worldwide. So you can think about QRC Technology products. You can add in the DetectWise solution as well as other product offerings like our pack of wolves high-speed processor. We also have an additional 8 channel partnerships that are currently underway. We work as well in the form of value-add reseller. So some of the partners that we have, for example, on our DetectWise suite, we've established our agreements with to be able to sell their products. One key differentiator for us in that marketplace is that we're a system integrator. So we have both the domain knowledge, power industries works such as aviation, industrial and health care, plus technology to bring along with it.
Josh Sullivan: Got it. And then just one last one. Can you talk about your role on the Advanced Battle Management System for the Air Force? And then how you see the timing of that program rolling forward?
Chuck Harrington: Yes. Carey, do you want to go ahead and take that?
Carey Smith: Yes. So the Advanced Battle Management System, it's one of the first steps in the Joint All Domain Command and Control. So that is a multiple-award contract, where we're expecting to bid task orders. We have a second contract that we're in the down-select phase for as well the Tyson, JADC or Joint All Domain Command and Control, which is called the TITAN program, which is going to be the ground system supporting multi-domain operations in support of the Army live fires critical mission. So we're heavily involved in all aspects of Joint All Domain Command and Control as well leveraging some of our legacy product offerings such as command and control core into that marketplace.
Operator: Our next question comes from Ron Epstein with Bank of America.
Ron Epstein: Maybe just a quick accounting type question. Given your spend on R&D, have you given thought to what the potential change in the R&D tax credit in 2022 could mean for your cash flow?
Chuck Harrington: Yes. So much of our R&D is either all or partially reimbursed. I don't know that we're going to see major impact from that. George, you want to provide a little different color on that?
George Ball: Yes. I would agree with that, Chuck. We'd probably see some nominal benefit, Ron, but it would not be material.
Ron Epstein: Okay. It's my understanding that the customer-funded R&D is included in this by itself?
George Ball: Yes, it is. But our R&D is not all that material.
Operator: Our next question comes from Justin Donati with Wells Fargo.
Justin Donati: Can you just talk a little bit more about the margin strength this quarter? What you see is sustainable? And what was the COVID impact?
Chuck Harrington: Thank you, Justin. Yes. So as we said last quarter, our Q1 each year generally is our lowest margin quarter and that's driven by a couple of seasonality items. One, it's, we have higher overheads in Q1 as we're rolling out our business plan and strategy, making sure everyone is online with where we're going, but it's also a period where we generally have lower performance award fees. And this particular Q1, we also had slightly higher, low-margin pass-through revenues. Q2 is generally where we start to see the margins increase and in general, we have been stronger in Q3 and Q4 as well. And usually, that's driven by more award fee milestones being located in Qs 3 and 4, especially, but also Q2. And our new contracts are ramping up and so our overhead is more fully absorbed. The other thing that generally has been occurring, I think as we've said, is over the last three or four years, the bid margins and the work, and the portfolio work we're pursuing has been steadily increasing in margins. So the backlog that we have is sequentially higher margin. As we book that new backlog, it's flowing through with a higher-margin in backlog we book, say, four, five years ago. So those things together kind of hit a confluence that are driving our margins up. And we continue to see those margins go up, and we expect it, certainly by mid-2022, we'll have both segments operating at double-digit net EBITDA margins. Does that answer your question?
Justin Donati: It does.
Operator: We have a follow-up question from the line of Cai von Rumohr with Cowen.
Cai von Rumohr: So we've basically been focused on M&A, but you said in the first quarter call, you don't want to do it in a virtual environment. Where are you on that issue today? Are you looking at more things? Would you do them in a virtual environment? Give us some color on that issue?
Chuck Harrington: Yes, Cai, thank you. Great question. So I think a couple of things have happened since Q1. One, we are all getting, not just Parsons, but, I think, all companies are getting a little more comfortable in how we can operate in a safe environment, maintaining social distancing, using masks and disinfecting our tables and conference rooms. So one, yes, we can do a lot of this virtually. But two, we've even found ways now where we feel more comfortable going into spaces and conducting in-person due diligence. So that, combined with the fact that the stock market has gotten a little less volatile than it was there, it was obviously a little volatile there in that, in the March, April time frame. And I think that sellers have a little more confidence that they know where things are settling out as well as buyers have a little more confidence now where they think multiples are settling out as well. So I think it's a confluence of all those factors, Cai, that have led to a significant warming of the M&A market from our perspective.
Cai von Rumohr: And what sort of things are you looking at? If you can give us some color on that?
Chuck Harrington: Yes, absolutely. So we're staying focused in the 4 key markets that we've identified that are core for us, and that is cyber intelligence, space and geospatial markets, missile defense and C5ISR as well as our Connected Communities/Intelligent Transportation Systems. With that, we continue to look at companies that are leveraging that either have and augment our own 4 technologies or benefit from our technologies in AI, autonomous systems, cloud computing and IoT sensors. And we continually look for those companies that have software and hardware IP. And either they've converted quite a bit of that into either hardware-software sales or as-a-service sales or we believe it provides us the building blocks we need to do that ourselves.
Cai von Rumohr: Terrific. Thank you very much.
Operator: We have a follow-up question from the line of Gavin Parsons with Goldman Sachs. Your line is now open.
Gavin Parsons: Hey, thanks for the follow up. I think I might have just missed it in response to Justin's question, but the EBITDA impact from COVID in the quarter, I just wanted to see if you could put a number around that. With the $67 million headwind from delayed contract work, but then also the $40 million of reimbursed work under CARES that presumably didn't have fees. So I just wanted to see if you could quantify the EBITDA dollars that you otherwise might have recognized in the quarter. Thanks.
Chuck Harrington: Yes. So the EBITDA gets a little more difficult to calculate just because there was a lot of things that we did to counter it. I mean, there was -- yes, we were making some overhead reductions. So that countered a little bit of the COVID. Some of our customers have allowed us, obviously, to go back into SCIFs and so forth or work from our own SCIFs. So all of that kind of -- although it's fairly easy for us to attract the revenue impact, it was much more difficult for us to really quantify the EBITDA impact because of offsetting factors. So probably not the clear answer that you wanted, but I think that's just a factual reality, Gavin.
Gavin Parsons: Yes. No, that makes sense. I certainly appreciate that. And then, George, maybe could you just give us an update on free cash flow on working cap collectibles which you've caught up on and what you're still kind of outstanding that you're working through?
George Ball: Yes. Certainly, Gavin. We're generally caught up with respect to major accounts, but I would say there's pockets of slowness still across the portfolio. We obviously get a lot of questions about the Middle East. That's probably the area where we have the greatest upside opportunity as we move into the second half. But I would also tell you, there are situations in both North America [Indiscernible] in Federal that have upside potential. So we're probably not quite where we would be had it not been for COVID. But given the strength of the second quarter, we've obviously made a lot of progress, but bullish on the second half.
Gavin Parsons: Great. And then one more quick one, if I could. Carey, any chance you have a stat offhand of how many bids in the Federal Solutions pipeline greater than $100 million?
Carey Smith: Yes. We have 15 that were awarded between now and year-end and 68 in the total pipeline that are greater than $100 million.
Gavin Parsons: Thanks so much.
Operator: That is all the time we have for questions. I'd like to turn the call back to Dave Spille for closing remarks.
Dave Spille: Thank you for joining us this morning. If you have any questions, please don't hesitate to give me a call. We look forward to speaking with many of you over the coming weeks. And with that, we'll end today's call. Have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.